Operator: Good morning, everyone, and welcome to The Eastern Company’s First Quarter Fiscal Year 2025 Earnings Call. [Operator Instructions] Please note this conference is being recorded. I will now turn the conference over to your host, Marianne Barr, Investor Relations. Marianne, the floor is yours.
Marianne Barr: Good morning and thank you everyone for joining us this morning for a review of the Eastern Company’s results for the first quarter of 2025. With me on the call are Ryan Schroeder, Chief Executive Officer and Nicholas Vlahos, Chief Financial Officer. The company issued an earnings press release yesterday after the market closed. If anyone has not yet seen the release, please visit the Investors section of the company’s website, www.easterncompany.com, where you will find the release under Financial News. Please note that some of the information you will hear during today’s call will consist of forward-looking statements about the company’s future financial performance and business prospects, including, without limitation, statements regarding revenue, gross margin, operating expenses, other income and expenses, taxes and business outlook. These forward-looking statements are subject to risks and uncertainties that could cause actual results or trends to differ significantly from those projected in these forward-looking statements. We undertake no obligation to review or update any forward-looking statements to reflect events or circumstances that occur after the call. For more information regarding these risks and uncertainties, please refer to risk factors discussed in our SEC filings, including Form 10-K filed with the SEC on March 11, 2025, for the fiscal year 2024. In addition, during today’s call, we will discuss non-GAAP financial measures that we believe are useful as supplemental measures of Eastern’s performance. These non-GAAP measures should be considered in addition to and not as a substitute for or in isolation from GAAP results. A reconciliation of each of the non-GAAP measures discussed during today’s call to the most directly comparable GAAP measure can be found in the earnings press release. With that, I’ll turn the call over to Ryan.
Ryan Schroeder: Thank you, Marianne, and thank you, everyone, for joining us today. At the highest level, I’ll say this, the first quarter met our earnings expectations yet still with plenty of challenges in the marketplace. Revenues came in at $63.3 million, down slightly from Q1 of 2024, EBITDA came in at $4.8 million and earnings per share at $0.31 per share, very close to where we expected it to come in for the year – for the quarter. A few high-level updates before I turn it over to Nick on more details from the quarter. These updates are from really the last time that we spoke. We have made meaningful structural changes in Big 3 Precision. We’ve been able to sell the ISBM Blow Mold business, also known as Centralia Mold. Furthermore, within Big 3, we’ve been able to close the Dearborn facility and improve our structural competitiveness within our racking business. Additionally, we’ve been able to complete a share buyback program of 200,000 shares. I’m also happy to report that the Board approved an additional share buyback program of additional 400,000 shares. Also throughout the quarter and the first part of the year, we’ve been able to complete our leadership team transition plans, and I’m very happy about the leadership team. I’ll touch on that within each of the portfolio businesses a bit more as we get further into things. And then lastly, I’d like to say, I’m extremely pleased to have Chan Galbato join us on our Board of Directors. Previously, Chan was the CEO of Cerberus Operations and Advisory Company. There, he was on a number of different boards, probably most notably as Co-Chairman of Albertsons. Most recently, Chan was the Chairman of New Flyer Industries. I’m super excited to have Chairman join the Board. 2025 will be a year of enhancing our strategic growth plans, eliminating bureaucracy and optimizing our cash flow. So with that, I’d like to turn it over to Nick on additional details for the quarter.
Nicholas Vlahos: Thanks, Ryan. I’ll focus my review today on the company’s financial results from continuing operations for the first quarter of 2025. Net sales in the first quarter of 2025 decreased 2% to $63.2 million from $64.6 million in last year’s first quarter. The decline was primarily due to decreased sales of truck mirror assemblies and truck accessories, offset by increased sales of returnable transport packaging products. Our backlog as of March 29, 2025, decreased 9% to $85.9 million compared to $94.0 million as of March 30, 2024. The decrease was primarily driven by decreased orders for returnable transport packaging products, truck mirror assemblies, and latch and handle assemblies. Gross margin as a percentage of net sales for the first quarter of 2025 was 22.4% compared to 23.9% for the prior year period. The decrease was due to higher raw material costs, partially offset by price increases. As a percentage of net sales, product development costs were 2% for both the first quarter of 2025 and 2024. Selling, general and administrative expenses decreased $0.8 million or 8% in the first quarter of 2025 compared to the last year’s period. The decrease was primarily due to lower payroll-related expenses of $0.5 million, offset by higher sales commissions of $0.3 million. Other income and expense increased $0.2 million in the first quarter of 2025 compared to the last year’s period. The decrease was primarily due to favorable gains on security transactions in 2024 that did not occur in 2025 and current year restructuring expenses. Net income from continuing operations for the first quarter of 2025 was $1.9 million or $0.31 per diluted share compared to $2.1 million or $0.34 per diluted share for the 2024 period. Now turning to non-GAAP measure. Adjusted net income from continuing operations for the first quarter of 2025 was $2 million or $0.32 per diluted share compared to adjusted net income of $2.1 million or $0.34 per diluted share for the prior year period. At the end of the first quarter of 2025, our senior net leverage ratio was 1.45 compared to 1.23 at the end of 2024. In addition, we invested $0.8 million in capital expenditures and paid dividends of $0.7 million in the first year’s quarter. As of March 29, 2025, inventories totaled $56.1 million, up $0.2 million from the end of fiscal year 2024. During the first quarter of 2025, we repurchased 50,000 shares of common stock under the share repurchase program Eastern Board’s authorized in August 2023, bringing us to a total of 200,000 shares repurchased and completed – completing the 2023 authorization. On April 30, 2025, the Board of Directors authorized a new share repurchase program authorizing the company to repurchase up to 400,000 shares of its common stock. The program extends until May 2030. That completes my financial review. I’ll now turn the call back to Ryan.
Ryan Schroeder: Thanks Nick. Now I’ll speak a bit more about each of the three portfolio companies. Let’s start with Eberhard. Most of you know, but I’ll repeat for those that don’t. Eberhard designs and engineers and manufactures a wide range of security hardware such as latches, locks, hinges, handles and related components for industrial, work truck, military and specialty applications. I’ll start with Zachary Gorny. So Zach joined at the very end of last year as the President of Eberhard. He’s doing a fantastic job and has done really nice work updating their strategy. Furthermore, in that work, they’ve reorganized the commercial team there and brought in a great leader named Scott Meldeau who is leading the commercial team at Eberhard. Scott has worked with both Zach and I in the past, so we’re very pleased with him joining. Thus far, they have been able to minimize the impact of tariffs. In some cases, that means passing some of those costs on and others, it’s about being nimble with our supply chain and brokers. Certainly, there’s been some softness in those end markets that I mentioned that they serve. That being said, Eberhard really benefits from being very well diversified. And at this point, is still pointed towards growth for 2025. Some of the key initiatives for Eberhard, there is going to be continued focus and defined initiatives on the commercial front. We’re also going to be doubling down on our efforts with new product development. Furthermore, we need to be very nimble with our supply chain. So I’m very pleased with the progress that’s been made at Eberhard and extremely encouraged about the future of that business. Next, let’s turn to Velvac. Velvac designs, manufactures and supplies vision systems, mirrors and a broad range of components and accessories for the medium and heavy-duty truck markets. The medium and heavy-duty truck markets for those that don’t know, have been fairly significantly impacted over the last handful of months. And the ACT, which is most commonly used to track build rates have shown an additional softness for the remainder of the year. We shall see in terms of how those build rates end. But as you may or may not know, Velvac from a mirror standpoint has a very significant market share, particularly on the Class 8 truck market. So we are having to be as flexible as we possibly can to being responsive to the changes in the volumes associated with our customers there. That being said, Dan McGrew and the team have been able to take market share and are extremely well positioned for growth in the future to those Class 8 end markets. Furthermore, it’s a bright spot within the business, but their efforts on their aftermarket business have continued to pay off. The team there has been able to grow that business even in the challenging environment associated with tariffs and everything else that organizations are going through. So key initiatives for Velvac in 2025 and beyond is centered around vertical integration. They’ve done a lot of work on that already, bringing in some plastic injection molding parts. They’re going to continue to work on that. Furthermore, we have big plans for expanding our aftermarket business. They do a fantastic job serving their customers there, and I think have a strategic advantage going forward. And then like Eberhard, they need to continue to have a nimble supply chain. So like Eberhard, Velvac had a solid year last year. And like Eberhard, I think they are very well positioned for success going into the future. In the near term, they are obviously going to have to work through some of the challenges associated with end market demand and supply chain uncertainty. Moving on to Big 3. So Big 3 designs, manufactures and delivers turnkey, innovative and sustainable packaging and material handling solutions as well as blow mold tooling. So like I mentioned earlier, we’ve completed the sale of the ISBM business, also known as Centralia Mold. We’re happy to have completed that in very speedy order. And furthermore, we’ve been able to become very close. We’re not quite done yet. But within the quarter, we’re going to be completing our strategic review of the mold business, and we have a go-forward plan with that. On the racking side, which is a significant part from a revenue standpoint for Big 3 Precision, we’ve been able to improve significantly the cost – input costs associated with that business. As I mentioned earlier, we’ve completed the closure of the Dearborn location. A portion of that business is rolled into the Centralia Rack business and then the other portion has moved to a new small purpose focused facility in Sterling Heights, Michigan for the design of racks and prototyping them. With all of this said and all the efforts that Emilio, our President there has and his whole team have been doing, we have begun to see incremental significant improvements in the results of that business. We still have a ways to go, but I’m really encouraged with what that business has been able to do thus far. So going forward, we’re going to finish those rationalization efforts, which are all but complete. We’re going to shift gears to operational efficiency efforts within the companies that we’re operating in and we’ve already shifted to improving and bolstering our commercial growth plans. So with all that said, I’m very encouraged with the work that the teams have done at Big 3, at Velvac and at Eberhard. And I am encouraged about the future of this business. So with that, I would like to open it up for any questions anyone might have. We’ll pause for questions and then I’ll move on to my final comments before closing the call.
Operator: Thank you very much. [Operator Instructions] We do have a question in. And your question is coming from Ross Davisson of Banetton Capital. Ross, your line is live.
Ross Davisson: Hi, Ryan. Hi, Nick. Thanks for taking the question. On returnable packaging, I was curious if you could just give us kind of a way to think about the outlook for that business. Specifically, I am wondering, obviously, there is a lot of change in the supply chain and there is a lot of uncertainty. Is there a potential tailwind there if there is production move around? Would your customers need more of your help in any of those scenarios?
Ryan Schroeder: Yes. Thank you very much for the question, Ross. I’d say this. It’s been a quite quiet market in the returnable packaging, particularly in the Automotive segment. So we’ve certainly seen that from a volume standpoint. That being said, when you think about tariffs and you think about all the supply chain uncertainty, the Big 3 Precision business is almost completely insulated from that being that we’re made in America, our supply chain is for the vast majority of it, on American supply chain. So we are really uniquely positioned. We think there is some demand that’s being pent up. And if and when it does break loose, we are well positioned to jump on it. And that’s why a lot of our heavy lifting, as we mentioned about with Dearborn and some other improvements we made within the business from a cost structure standpoint is going to allow us to be competitive, but also very responsive if there is a significant breakthrough. Historically speaking, these markets do tend to be a bit lumpy, and we’ve certainly seen a more soft pattern here recently with all the uncertainty in the marketplace. So we’re encouraged that in many cases, we believe we’re in the trough and we believe many of our customers are sort of in a wait-and-see mode with regard to trade talks and tariff ramifications. But at some point in time, regardless of the – if those deals get done or don’t get done, they’re going to have to break some programs loose. And we’ll be – we are very well positioned regardless. So yes, I would – that’s how I’d frame it up. I don’t know, Nick, if you have anything else to add.
Nicholas Vlahos: Yes. I would say, as more production is brought back into the United States, Big 3 is in a good position to take advantage of that due to their focus of their locations in North America and already having the experience of producing the returnable packaging that a lot of companies will be able to utilize more because more of their supply chain is local compared to overseas, which you do not get – typically have returnable packaging.
Ross Davisson: That’s great. That makes sense. Thanks for that. And then just on gross margin, it’s lower than it had been sort of the last 1.5 years. You referenced higher raw material costs, some price increases. Is it – should we expect sort of the levels you are at sort of where we are going to be for a while? Is there – are there near-term opportunities to sort of raise that gross margin? Any help there thinking about it would be appreciated?
Nicholas Vlahos: Yes. So Ryan, I’ll jump in on this question. So part of this also was sales mix as well. And with that, we do expect with some of our higher margin products to start getting a better velocity in the market, start selling more. And therefore, that will also help to support the margin as well. But we are always focused on taking out as much cost as possible from our cost of goods sold as well.
Ross Davisson: Okay, great. Thank you. Thanks for the answers.
Operator: Thank you very much. [Operator Instructions] Okay. I’m not seeing any further questions. So I will now hand back over to Ryan for any closing comments.
Ryan Schroeder: Thank you, Jenny. Yes. So in closing here, you are going to see with The Eastern Company a relentless execution for top decile performance. That’s going to be really the central theme of everything that we’re doing. We’re going to be looking at strategic growth and operational focus going into the remainder of the year, where we’ve been very active as we’ve been touching on here today in the call on the Big 3 transformation. I don’t believe it’s completely finished yet, but we’re approaching the end of that. We’re going to have cost discipline. This is obviously very uncertain times. We’re going to control the things that are within our control. And we’ve done much of that in the first quarter. That’s going to be a continued focus going on through the second quarter and the remainder of the year. And from a tariff standpoint, it’s obviously front and center to virtually every company and business in North America and maybe around the world. We have an organization that is very aggressive on tariff management. This is mainly within the Velvac and Eberhard business. But I’ve been very impressed with the team’s ability to manage that on an hour-by-hour and day-by-day business. I’m happy that through the first quarter, they have been able to more or less neutralize the tariffs that we have seen come through. I’m not suggesting that, that’s going to completely be the case going forward, but the plans thus far have supported doing exactly that. And then in a related sense, we’re going to continue to have nimble supply chains. The efforts I touched on with regard to Velvac in-sourcing and Eberhard having a number of efforts in adjusting our supply chain for our best use of success in the long run. And then I’d like to close out with our balance sheet is in quite good shape. And with that, M&A is now a priority again. We’re going to be extremely disciplined, but we’re excited to start looking at deals come through here at the remainder of the year and even into 2026. So with that said, we look forward to giving you an update in Q2. If you have any additional questions or need any additional information, please don’t hesitate to reach out. And with that, I’ll close the call and hand it back to Jenny, our operator.
Operator: Thank you so much, Ryan. That does conclude today’s conference. You may disconnect your phone lines at this time and have a wonderful day. We thank you for your participation.